Jason Windsor: Good morning, everyone. Siobhan and I would like to welcome you all to our full year results presentation. Looking back over last year, I'm encouraged by the progress we are making against our strategy. Our efforts mean that the business is now in much better shape as we pursue our ambition to be the U.K.'s leading wealth and investments group. Before I kick off, just a quick word on the agenda. I'm going to begin with the highlights, and then I'll hand over to Siobhan, who will take you through the financial performance and our capital position. I'll then provide a closer look at our strategy, including progress in each of our businesses. And as usual, we'll open up for Q&A. So let me start with the highlights. 2025 was a year of significant progress, a year in which we grew group profits, grew in wealth and continued to reposition our Investments business. Having set out our strategy a year ago, I'm pleased with what we've delivered so far through a continued focus on execution. We've taken critical steps toward improved profitability, and we're all excited about the opportunity ahead of us. We have 2 leading businesses in the fast-growing U.K. wealth sector and a more efficient investments business that is focused on real areas of strength. Last March, we set out our strategic priorities alongside our group targets for 2026, which, as you'll remember, were adjusted operating profit of at least GBP 300 million and net capital generation of around GBP 300 million. We remain firmly committed to delivering these group targets this year. We're entering 2026 with positive momentum. Following interactive investor's very strong performance in '25, this business will again play a more substantial role in 2026. We will see the full benefit of the transformation programme coming through as well as other initiatives, all designed to make us a stronger and more efficient group orientated to growth. Achieving our '26 group targets will be an important milestone for us. However, let me be clear, we see opportunities to drive sustainable growth beyond this. So just a quick summary of the progress we made in '25. We delivered group adjusted operating profit of GBP 264 million, up 4%. We saw a very strong increase in ii and improved efficiency in investments, which more than offset the actions that we took to reposition Adviser. Net capital generation was also up slightly. This was after increased cost of funding our transformation and simplification projects, which have exceeded our target and delivered GBP 180 million of savings. As we highlighted at the Q4 update a few weeks ago, AUMA across the group increased by 9% to GBP 556 billion. And with talent and culture critical to the future success of the business, I'm encouraged that colleague engagement increased by 10 points in the year to 67%. Combined with the strength of our capital position, we see exciting opportunities to build the value of the group over the long term. We're set up to deliver sustainable growth beyond '26. We're now targeting net capital generation growth of 5% to 10% per annum on average, absent any major market irregularities. Touching now on each of the 3 businesses. Starting with interactive investor. ii is undoubtedly one of the U.K.'s most exciting fintechs. For the second year running, ii was the #1 D2C platform by net flows. And looking ahead, we see significant opportunities for future growth. In Adviser, the strategic repricing impacted our profitability. However, we made progress with net outflows almost halving year-on-year and improved platform and better client service. We have more to do, and we're taking the necessary actions to improve our service further, enhance our proposition and return to growth in flows as soon as possible. In Investments, cost discipline supported a 5% increase in adjusted operating profit with gross flows in IRW, excluding liquidity, strengthening by over 50% and 3-year investment performance ahead of our target at 80%. I'm confident we're repositioning investments for long-term growth. I'll now hand over to Siobhan to take you through the financials.
Siobhan Boylan: Thanks, Jason, and good morning, everyone. It's good to be here and meet you all in person, and I'm looking forward to taking you through our results and taking your questions later. This is an exciting business to be part of. And today, we're showing results that underscore both the real progress we've made and potential to come. So let me start with some performance highlights. During 2025, we made good progress across the group as we implemented the plan set out last March. Highlights include the continued very strong growth across a range of metrics in interactive investor, significantly improved flows in Adviser and in Investments, encouraging progress in gross flows and improved investment performance. Importantly, we've done this while embedding efficiency and maintaining a disciplined approach to cost. We've delivered GBP 180 million of annualized savings through our transformation programme, exceeding our target. This in part has created capacity to invest in the business while reducing expenses by 5%. The excellent growth in ii and continued cost discipline in Investments more than offset the impact of the repricing actions in Adviser. As a result, adjusted operating profit for the group increased by 4% to GBP 264 million. IFRS profit before tax was GBP 442 million, an increase of 76% on 2024. This was largely driven by a GBP 236 million increase in the fair value of our strategic investment in Standard Life, until recently known as Phoenix. Our business model is supported by a strong balance sheet and capital position. In '25, we moved to our internal capital assessment, which has reduced our regulatory requirement. This, in turn, has led to an increase in our capital coverage ratios and provides more flexibility. I will talk more about this shortly. And finally, in line with our policy, we are maintaining the dividend at 14.6p per share. Dividend cover on both an adjusted and net capital basis remained broadly unchanged year-on-year. So looking at the performance in the businesses, starting with ii. It's pleasing to see very strong momentum in the business across key metrics. It's been an excellent year of growth for ii. Customer numbers were up 14% to reach GBP 0.5 million at year-end, with particularly strong growth in SIPP accounts, up 30%. Net inflows increased 28% to GBP 7.3 billion. Coupled with positive markets, this resulted in AUMA increasing by 26%. Revenue was up 19% to GBP 330 million. Within this, trading revenues rose 44% to GBP 101 million, supported by record activity levels, including high levels of international trading and strong customer engagement. We saw DARTs increase by 32% to over 26,000, and we continue to see strong momentum into 2026. Treasury income grew 17% to GBP 161 million. This was driven by higher average cash balances, helped particularly by an increase in SIPP customers. Cash margins were 221 basis points, slightly lower than the 229 basis points in 2024. Subscription revenue increased by 3% to GBP 62 million, reflecting the growth in customers, although some customers benefit from our differentiated pricing plans. We continue to invest in this growing business and expenses increased by 8% to GBP 175 million. This principally reflected investment in brand awareness, proposition developments, including ii Community, ii 360 and ii Advice as well as additional capacity to support current and future growth. Interactive investor is a very scalable and efficient business. This has been reflected in its cost to AUMA ratio, which improved from 19 to 18 basis points. As a result, adjusted operating profit was up 34% to GBP 155 million. And consequently, ii has become the most significant contributor to overall group profitability. So looking now at the Adviser business. As we recently reported, the flow position in Adviser is much better year-on-year. This is despite an uptick in outflows towards the end of '25 with tax-free cash withdrawals having increased by around GBP 250 million from their normal levels as a result of the U.K. budget during Q4. Net outflows across '25 improved by 44%. While this is an improvement, we're still an outflow, and that means there's more to do. The actions we took to restore service levels, enhance platform functionality and implement competitive repricing drove this improvement. The repricing action was necessary and was the main driver behind a 14% reduction in revenue. Treasury income on client cash balances reduced by 10% to GBP 30 million, largely reflecting a lower average cash margin. And we expect the cash margin in '26 to be lower as a result of base rate cuts. Other revenue reduced by GBP 6 million, reflecting the sale of 360 in July '24. Expenses were higher at GBP 119 million due to a reduced benefit from a temporary outsourcing discount, which ended in February '25. Adjusted operating profit was 32% lower at GBP 86 million. So turning to Investments. We've seen encouraging progress in the year. Xavier and his strengthened leadership team have focused on driving efficiency, improving investment performance and delivering an improvement in flows. Excluding liquidity, which is inherently volatile, our institutional and retail wealth book returned to a small net inflow in '25. This is a GBP 4.8 billion improvement from last year and reflects a 55% improvement in gross flows. This improvement was driven by positive momentum in most asset classes, including significant mandate wins in quants and fixed income, strong demand for commodities as well as the agreement to manage the GBP 1.2 billion of the Stagecoach scheme. There was also a material improvement in investment performance, which at 80% outperformance over a 3-year period is now above target. However, revenue in I&RW was lower. This principally reflects the impact of the annualization of recent flows and continued changes to asset mix. To give you some context, I&RW total average AUM was up 1% with average equities AUM down 13% and average quants AUM up 26%. As a result, revenue yield across our I&RW book was 2.8 basis points lower at 28 basis points. Insurance Partners net outflows increased to GBP 6.8 billion, principally reflecting heritage business in runoff. Revenue was 13% lower and revenue yield decreased to 7.4 basis points, again, as a result of changes to asset mix and repricing. Given these revenue changes, we remain focused on improving efficiency across the business with Investments the key focus of our transformation programme. This enabled us to reduce expenses by 8%, in turn driving a 5% increase in adjusted operating profit to GBP 64 million. So turning now to look at transformation in a bit more detail. Since its launch in early '24, the transformation programme has exceeded our expectations, not only delivering a material improvement in operational efficiency, but also improvements in both client and colleague outcomes. Over this period, it has delivered GBP 180 million of annualized run rate savings, exceeding the original GBP 150 million target. In total, 239 initiatives were completed by the end of '25, with key savings achieved, including the renegotiation of third-party contracts, the outsourcing of transactional work, process simplification and automation. In the chart at the top, you can see how these cumulative annualized savings were delivered over time. We expect circa GBP 30 million of residual annualized benefit to be reflected in '26. Transformation savings were the key driver of the 5% reduction in group adjusted operating expenses in the year. We have, however, continued to invest in the business, in particular, in ii and have seen some general expense inflation. As we look ahead, our focus is to embed a culture of efficiency while also optimizing how we work and creating capacity for investment to drive profitable growth, improve client experience and automate processes. So moving on to capital generation. Adjusted capital generation increased by 5% to GBP 323 million, principally reflecting higher adjusted profit after tax. Adjusted net financing and investment return increased, largely benefiting from gains on seed capital and co-investments. ACG has also benefited from actions taken to unlock value from our defined benefit pension scheme surplus as we are using this to fund contributions to our DC pension scheme. This contributed GBP 16 million in the second half of the year and is expected to benefit capital generation by circa GBP 35 million in '26. Net capital generation was up slightly at GBP 239 million, with improvement in ACG offset by increased restructuring and corporate transaction expenses of GBP 84 million net of tax as we continue to transform and simplify the business. Let me now briefly turn to the Stagecoach deal we announced last December and its financial implications. This is a groundbreaking deal that is testament to the breadth of our specialist capabilities within the group as well as our ability to execute. This deal delivers real benefits for Stagecoach, its pension scheme members and our business. The combination of our investment capabilities, balance sheet strength and the scheme's strong funding position enabled us to take on this opportunity, which has seen us take on the responsibility for the scheme's funding as well as the management of the GBP 1.2 billion of assets. It brings AUM into our solutions franchise with associated annual investment management fees of circa GBP 3 million to GBP 4 million. In addition, this AUM will also act as a potential source of seed and co-investment capital into productive assets in private markets, an area of strategic focus as we look to grow our Investments business. We will also be entitled to a minority share of any future distributed surplus as it emerges, obviously subject to trustee approval. In terms of the accounting treatment, the scheme is not controlled by us and is therefore, not consolidated on our balance sheet. The investment management revenue will be recognized in the Investments business. The entitlement to a minority share of the surplus in our role as sponsoring employer is accounted for under IFRS 17 as the contract is caught by the standard due to the associated longevity risk. This is reported within the Other segment. The present value of expected future cash flows is GBP 63 million, and we expect the associated annual benefit of circa GBP 3 million to be reflected in adjusted operating profit from '26. Given the strength of the scheme's funding position and the investment strategy that has been put in place, this arrangement has only a limited impact on capital. So turning to our capital position. Our balance sheet and capital strength provide us with a firm foundation to deliver our strategy and through this, sustainable growth and returns. We disclosed in our Q4 update that with effect from the end of '25, our capital requirement is now based on the group's internal capital assessment. As a result of this change, our regulatory capital requirement has reduced by 17% to GBP 879 million. Our CET coverage ratio has improved to 163% compared to the equivalent of 139% at the end of '24, while our total coverage ratio has increased from 198% to 218%. Going forward, we expect to operate with a total capital coverage within a range of 140% to 180% as we reduce debt and continue to invest in the business. So to our set of debt and our principles for capital allocation. We have clear principles by which we allocate capital across the group with the overarching objective of directing resources to where they can generate the best returns for shareholders. With the revised internal capital assessment, the value of our debt that contributes to the capital coverage ratios is now less than GBP 400 million. Given this, we will look to optimize and reduce our debt over time as a key priority. Our aim is to sustainably grow profit and net capital generation, which is the source of capital for future investment for dividends. Across '24 and '25, we've invested GBP 160 million in our Transformation programme and around GBP 60 million in accretive acquisitions, including adding scale to our closed-end fund franchise and increasing our stake in Tritax. Over time, we expect a closer alignment between adjusted and net capital generation as restructuring and corporate transaction costs reduce. And we are committed to our target of generating circa GBP 300 million of net capital generation in '26. And finally, let me take you through our guidance and financial outlook for '26. Taking each of our businesses in turn and starting with interactive investor. The simplified pricing we rolled out in early February is expected to result in lower FX and trading fees in '26. This will be more than offset by an increase in both subscription revenues and treasury income, with growth in cash balances being only partly mitigated by a slight reduction in cash margin. We expect the cost to AUMA ratio to improve slightly relative to what was reported in '25. Adviser will continue to reflect the impact of strategic repricing as well as the end of the outsourcing discount referred to earlier. The total revenue margin in this business is expected to be slightly lower than '25, largely due to the competitive nature of this sector. Turning to Investments. Revenue margin is expected to continue to reflect changes in asset mix with a headline rate of approximately 19 basis points. Against this, expenses will reflect the benefit from the transformation savings delivered in '25, partly offset by investment in the business and inflation. Investment net flows in Q1 are expected to include circa GBP 4 billion of outflows from known equity mandates, including Murray Income Trust, the impact of which is expected to be partially offset elsewhere in the business. And turning lastly to group. Restructuring and corporate transaction costs in '26 are expected to be materially lower than '25. And as I said before, net capital generation is expected to reflect a full year benefit of circa GBP 35 million from the actions taken in relation to our DB surplus. With that, I'll hand back to Jason to take you through the strategic and operational highlights.
Jason Windsor: Thank you, Siobhan. Let me start with the progress we're making in delivering our strategy. Aberdeen has the privilege of working every day to help millions of people turn their financial goals into reality. Our ambition is to be the U.K.'s leader in wealth and investments and our purpose is clear; to enable our clients to be better investors. And that purpose ties together all 3 of our businesses. In ii, we have a fast-growing direct investing platform that is competitively advantaged, operating in a structurally attractive and expanding market, and the team are already demonstrating their ability to win. In Adviser, we operate at scale, supporting around half the U.K.'s IFA market. The opportunities for growth in this business are clear. In Investments, we've undertaken crucial repositioning work that will support our future success. Lower costs, better investment performance and the alignment of our strengths with key growth areas give us a strong platform to meet our clients' needs. All of this is underpinned by a culture that prioritizes excellent client service and focuses on technology and talent. Just turning for a moment to the environment we operate in. This slide sets out some of the structural forces shaping our key markets, which, of course, will be somewhat familiar to you. At the headline level, we continue to see significant growth potential in U.K. savings and investments. Across the U.K., long-term savings and investment needs are becoming more personalized. Individuals are increasingly responsible for managing their own retirement planning and their investments. And the demand for accessible trusted solutions continues to rise. And while confidence in self-directed investing is growing and many more people are comfortable with managing their money online, there's still a large savings and investing gap. This creates significant opportunity for both of our wealth businesses with the overall addressable wealth market in the U.K. estimated to be at least GBP 3 trillion. Interactive investor is ideally positioned for self-directed customers. Adviser, meanwhile, is well placed to support IFA serving customers who want the reassurance of individual support and may have more complex needs. In investments, we see increasing demand for multi-asset solutions, active specialty asset classes, private markets and most recently, emerging markets, areas where we have competitive strengths. The multi-decade transition to low-carbon infrastructure, combined with the greater appetite for diversifying portfolios will continue to create opportunity for asset managers with scale and capability in these areas. Aberdeen is competing in markets where growth is structural and with focus and strong propositions, we are well placed to capture that growth. Let me turn to each of the businesses in a little more detail. Starting with interactive investor, which had a truly exceptional year. 2025 was characterized by strong customer growth, increased engagement and excellent financial performance. ii now serves 0.5 million customers, which is up 14% year-on-year, with particularly compelling growth in SIPs. ii was #1 for D2C platform net flows with 20% market share and 29% market share of U.K. retail trading, truly a market leader. Customer experience is becoming ever more important in this competitive market. ii's service remains industry-leading. The introduction of automated processes, better insights through AI and continuous investment in our digital interface all support high-quality experience. And this positive experience, coupled with the strengthening of our proposition has also led to higher levels of customer engagement, which we've seen not just in daily trading volumes. ii's customers are engaged as investors, and they voted on 34% of all shares that could have been voted on in 2025. To be clear, this is the highest level of voting compared to U.K. platforms by a considerable margin. In addition, we've seen the number of customers who engage with each other to share ideas via ii Community grow by over 180% in the year, with ii also the U.K.'s #1 platform for customers investing in ETFs. Our success was also supported by the ongoing focus on building the brand, including the launch of our Penny Drop campaign, which dramatizes the moment people see the value of flat fee investing. Through our marketing campaigns, promotions and continued support of our customer base, we saw prompted brand awareness rise from 25% to 37% over the course of the year. Turning now to the priorities for 2026. As I just mentioned, ii customers are already enjoying industry-leading service. We'll build on this by improving our customers' digital experience with increased AI adoption supporting automation and improved insights. We will continue to promote and strengthen the awareness of the ii brand, highlighting ii's leading value proposition and service. We're also broadening the proposition for customers, whatever their level of confidence or life stage. We've enhanced our product range with the launch of a new managed SIPP that has been designed with simplicity and lower confidence investors in mind. This is manufactured by Aberdeen Investments. In Q4, we also soft launched ii Advice, a digital-first simple advice service, which, of course, also has a disruptive flat fee approach. In December, we launched the pilot of ii 360. This advanced data-driven tool has been designed to meet the demands of more sophisticated investors around enhanced trading. This year, we'll fully launch ii Advice and ii 360 with associated promotion activity designed to broaden the customer appeal. A few weeks ago, our new pricing went live. This is aimed at maintaining a very simple set of options for investors and further improving our competitiveness, and it's landed extremely well with customers. Our new plans, Core, Plus and Premium retain the low flat fee value that ii is known for, while we have reduced trading and FX fees. Our revised pricing structure offers every customer an ISA, a SIPP and a trading account all for one fee. In addition, customers are able to consolidate their family's investments and accounts onto the ii platform for one fee. The combination of ii's disruptive price, innovative proposition and award-winning customer service is what gives the business its competitive edge. And they are the foundation on which the business will continue to grow. Turning now to Advisers '25 highlights. We've made progress on proposition, price competitiveness and service, but we've got more to do. As previously mentioned, the strategic repricing was a necessary step to rebuild our position in an advice market that remains attractive but is becoming increasingly competitive, particularly in relation to price. Beyond price, excellent service is at the heart of success. We have continued to improve service levels with our success reflected in our average Net Promoter Score for our call hub increasing to plus 45, a significant pickup from the plus 34 a year ago. While other key service indicators such as speed to answer calls and customer satisfaction also improved, we do have ambitious plans to go further. We've continued to enhance our proposition with the launch of the Aberdeen SIPP, giving us a market-leading offer in this critical product. Our innovative new SIPP is designed to deliver more value for customers via our automated drawdown price locking and intergenerational planning through family linking and the junior SIPP. We've already seen over 1,800 new SIPPs taken out on the platform, which is just 3 months post launch. The improvements made to our service and proposition have received industry recognition. In February, Defaqto awarded both our Wrap and Elevate platforms gold service ratings, upgrading us from silver. While I'd never celebrate an outflow, I was pleased that the sustained improvements to service have contributed to significant improvement in our net flows in 2025. Looking ahead, there is still work to do to return to net inflow. On the next slide, you can see our priorities for 2026. With improved service levels and the launch of the new SIPP, the business is doing the right things to return to growth, but with more to do. So this year, we'll deliver more automated processes with the aim of reducing the administrative burden faced by Advisers, freeing up their time to focus on their customers. We'll simplify our operating model and further enhance control over end-to-end service. This will drive fewer handoffs, clearer ownership and faster processing of client demands. We're improving the interface between our platforms and client software to create further capacity for Advisers. To underpin these improvements in the proposition of the platform, we built a new product development team of over 40 starting from scratch, taking control and bringing these important capabilities in-house. We've made some progress in improving net flows in '25. We're now targeting net positive flows this year with the target of achieving GBP 1 billion of net flows deferred to 2027. Let's now turn to Investments. This is a business that's showing clear signs of positive momentum following a repositioning. Building on the progress we made last year, our 1-, 3- and 5-year investment performance has improved year-on-year with our 3-year outperformance now at 80%. This is also reflected in our 4- and 5-star Morningstar ratings, which now cover 42% of AUM. Pleasingly, fixed income, multi-asset and quants strategies once again delivered strong relative performance. Equity performance is also on a positive trajectory, supported, for example, by very strong performance in our global emerging markets income strategy and our thematic funds. This has had a positive impact on flows. Net flows into I&RW channel, excluding liquidity, improved by GBP 4.8 billion to return to a small net inflow position. And as mentioned, this was underpinned by an over 50% improvement in gross flows. In the face of continued client preference for passive investment strategies globally, our business growth strategy includes renewed focus on wholesale and private markets. And let's take a little bit of time to look at that in more detail. We have 2 targets for our Investments business. To deliver consistently strong investment performance and to achieve a step change in profitability. To deliver on these targets, we set 3 priorities for 2026. First, we will look to grow profitability where we have specialist capabilities. To step back for a moment, we estimate that over the next 25 years, 2% of global GDP will be directed toward the infrastructure needed to drive productivity and to support population growth. With nearly GBP 80 billion in our private markets AUM and our agreement to take full ownership of Tritax by 2029, we are well positioned to benefit from the growth in this sector, particularly in real assets. Wholesale distribution is projected to grow at 7% a year and offers attractive margins. We'll continue to grow in this channel by promoting strong relevant products such as emerging markets, credit and quants as well as our new suite of active ETFs. Siobhan already covered the Stagecoach deal in a little detail. We believe there's more we can do to deliver solutions and partnerships inspired by this model. The second priority is to continue to deliver strong investment outcomes for clients, enhancing our investment processes and employing technology to drive insights and support decision-making. Given our deep expertise in pensions and insurance, we're well positioned to build meaningful partnerships across the market, including with global financial institutions. We'll also build on our continued strengths in closed-end funds, where we are the fifth largest manager worldwide with over GBP 20 billion of AUM. And thirdly, we will continue to enhance our operating model to strengthen execution and efficiency. This includes deploying a next-generation front office system, increasing automation, simplifying processes and having the right talent and leadership in place. This nicely takes me on to one of my key strategic priorities for the group, strengthening talent and culture. A strong culture is essential ingredient to success. I'm proud of the way colleagues across the group have united behind our plan, helping to drive a 10-point uplift in employee engagement. The arrival of Siobhan in the summer further bolstered our leadership team as we pulled together to accelerate progress. The streamlined group operating committees bedded in well and improved the pace of decision-making. And our extended executive leadership team is ensuring we have the right commercial conversations. We've launched new career development tools, and we saw improvements across all underlying drivers of engagement. We're deepening our investment in all of our people. And this year, we'll be doing that with a particular focus on leadership with tailored training for over 500 of our leaders. Everyone is clear. We will seek automation wherever we can and that efficiency is essential to be competitive now and in the future. To do that, we do need to continue to optimize our operating model, in-sourcing where this makes sense and building essential capability close to the customer. We're evolving Aberdeen into a place where talent is our competitive advantage, where teams are empowered, where innovation is embraced, where we constantly seek to drive better outcomes for clients. To close, let me just spend a moment on the path ahead. As I mentioned in my introduction, our '26 group targets are clear. We still have lots to do to achieve these targets, but they do reflect our confidence in the trajectory and performance of the group. Building on what we have achieved in '25, 2026 will benefit from a full year of annualized transformation savings, the positive impact of transactions as well as continued strong contribution from ii. Looking beyond '26, once we've met our group targets, we are targeting NCG to grow by 5% to 10% per annum on average over the medium term, of course, absent any major market irregularities. Our commitment to disciplined capital management will continue, and we've clear principles that underpin our approach. Central to that is maintaining a strong balance sheet, investing in our business for the long term while offering shareholders strong cash returns in the form of dividends. As Siobhan outlined a moment ago, our capital coverage has strengthened significantly during the year. Over the medium term, our target is to operate with total capital coverage in the range of 140% to 180%. In '26, we will reduce our debt and continue to invest in the business. This investment will be closely overseen with our strategy and driving sustainable earnings growth, the cornerstones of our approach as we demonstrated in 2025. We have the building blocks of a stronger, simpler and more profitable group, strong momentum in ii, foundations in place for Adviser to return to growth and a more focused Investments business. A year into delivery with the business more focused, my team and I are impatient to go further and achieving our full potential. Thank you. With that, Siobhan and I are happy to answer your questions.
Jason Windsor: Who wants to go first. Hubert, you've got the mic.
Hubert Lam: Hubert Lam from Bank of America. I've got three questions. Firstly, on costs, you cut cost by 5% as a group for last year. Just wondering what your guidance is for absolute cost for this year? First question. The second question is on the equity outflows. You mentioned of GBP 4 billion in the quarter. Just wondering where is it coming from? What's driving that? Is it due to your fund performance? Is it -- or your clients moving the passives? Just wondering what's driving that and what the fee margin is for these assets? And lastly, on ii, obviously, great performance last year, strong trading volumes. I'm just wondering what -- you're guiding for lower fees in trading, but I think that's mainly due to the margin rather than volumes. Just wondering what your outlook is for volume growth just given the strength last year.
Jason Windsor: Okay. Well, I'll start with the last one first and then I'll take a couple of the others. So ii, yes, we've simplified and lowered fees, particularly on FX. Actually, trading volume was significantly higher in '25 month by month, and we've seen actually pretty strong start to 2026. Obviously, the last couple of days has had another elevated level of trading. So I think -- overall, it was a simplification for the strength of the proposition. It's working. Actually -- and I can talk about that in a bit more detail in a moment, somebody asked me, but the growth within ii in Q1 is very, very strong. The growth in customer numbers, in AUA and also supported by trading is all doing well. So our expectation, as I said, is ii will grow its profits in 2026, and we'll continue to grow that as we go through this price change. I mean just to comment, I'll let Siobhan say something on costs in a moment. I mean, I touched on this. We set out an ambitious transformation programme a couple of years ago. We've achieved about 90% of that, some unders and some overs, as you might imagine. There's a little bit to complete. One of the things that we weren't expecting to do, but we've in-sourced quite a lot of contracts and quite a lot of work under Richard's leadership and COO because we want to get control. And there was a bit of an outsourced MAX structure that we inherited. And we brought this in-house to get capability and just be more in control of what we're doing. So we're very comfortable with that. It's taken a little bit of time to build those teams, but we expect the efficiencies. We've had a bit of double running. But as those contracts terminate and we'll run into taking it on to ourselves, we do see opportunities for cost reduction next year.
Siobhan Boylan: Yes. And just to give you some specifics, that's working, I guess. To give you some specifics, we have said that there are about GBP 30 million of annualized cost savings will come through. I'd expect some of that to drop through to the bottom line. As Jason has just said, it is about reducing costs to invest into the business. And we also pointed to the fact that the restructuring costs would be lower, about half of what we spent this year. So the total cost, that gives you a bit of guidance as to where we expect that to go. In terms of the equity mandates that we mentioned, there was one that was Murray Income, which was -- came out, was announced in December of last year. The others are some mandates, primarily in equities, a range of fee rates, but I would expect them to be slightly higher than the average of the total book in total, but significantly lower than the equities numbers, the equity margin.
Jason Windsor: Yes. There was one particular mandate that was a very low equity margin. So perversely, we'll see lower revenue, but the margin rate will go up. Just to be fair on that. It's materially lower, about 1/4 of the average margin in the book. So yes, there we go. Nicholas, want to go next, sorry.
Nicholas Herman: It's Nicholas Herman from Citi. I also have three questions, please. Two on capital, one on ii. On capital, on the NCG guidance, I appreciate the guidance of 5% to 10% is an average, but it seems a little bit potentially on the low side. I mean, I guess in 2026 alone or you're expecting to incur GBP 25 million of restructuring charges. I guess there will be some corporate expenses on top of that. So taking the restructuring charge out alone in 2027 would imply 10% growth. So just could you rationalize why that growth is only 5% to 10% given those -- yes. And on the surplus capital, just how do you conceptualize 140% to 180% coverage ratio being the right level for the business? And you said that paying down debt is a strategic priority. You've been very consistent there. Just to clarify, is it fair to assume that, that gets paid down in mid-2027 at the reset? Or would you repay earlier? And then finally, on ii, you've generated GBP 54 million of subscription revenues and GBP 100 million of trading revenues last year. If you had put through the new pricing that you announced a few weeks ago last year, could you just help us understand how that would look, please?
Jason Windsor: Okay. Look, I think on the outlook for capital generation, one sense, you're right. We are optimistic about the opportunity to grow the business further as we go into '27 and beyond. I think we are being thoughtful about the overall performance of all of the businesses together. Hitting the big stepping up in '26 is first order of business. I think there will be some restructuring costs probably in '27 and beyond. We're not calling a number right now, but I don't think it will be 0. We will want to find opportunity to invest into the business, but it won't be the level that I think I inherited a number that was in the mid-150s. It was a big number. We've been bringing that down, and we've got real benefits. So our discipline about achieving benefits on our spend is absolutely paramount, and we continue to push that as we go further forward. But nor do I want to have a situation where we're not going to spend anything in the business. We are trying to invest for growth and to make us a better company. So we'll probably -- as we get through '26, we'll probably recalibrate that a little bit for you. But I think on average, that's a good guide, notwithstanding restructuring costs as to where we see the growth potential of the business. I'll take the ii one because I'm going to answer it. Because it is easy? I don't have the numbers to hand is a simple way of putting it. As I said at the Q4 call, we see this as NPV positive. Richard and I and all of Richard's team ran plenty of scenarios about this. So there's no absolute certainty. But the reaction to date has been very strong. We see profitability actually being strong in 2026. As we go through that, we see the subscription revenues actually growing. They were a little bit depressed by a number of customers in '25 as nobody from Jarvis paid any subscriptions. They all had a fee holiday. So that will come through in 2026. But we're obviously after profitable growth, and we think the steps that Richard and his team have taken set us up well for that.
Siobhan Boylan: And in terms of the debt, so we have 2 pieces of debt, one, which is callable at the end of this year and then a bullet in 2027. So I think you can see kind of how it's structured. And we are -- the operating range is a range that we were happy to bounce around the top of. The clear priority for us is to pay down the debt and then invest in the business.
Gregory Simpson: Gregory Simpson from BNP Paribas. Three from my side, please. On ii, are there any early comments on behavioral impacts you've seen from the fee change and also your -- the largest player in the market made a fee change as well. So any comments on market share momentum? Secondly, on ii as well, given the development in AI, are you seeing an opportunity to be more aggressive on -- the kind of advice opportunity in terms of D2C platforms going after the advice market? And then thirdly, on Investments, revenue margin saw 2 basis points of pressure last year to 19% and you're talking about 19% for '26. So what gives you the confidence in that more stable path on margins?
Jason Windsor: Siobhan take that one first, and I'll come on to ii.
Siobhan Boylan: Yes. So in terms of the revenue margin, in last year, of the GBP 10 billion of equity outflows, 40% was from Asian equities. So that's what really impacted the revenue margin last year. If I look forward and look at the mix of businesses coming through, we are seeing strength in pipeline in things like real assets, EMD and ETFs. So that will actually give some support to the margin. Also last year, we only had kind of 2 weeks of the Stagecoach scheme. So again, that will support the margin going into 2026.
Jason Windsor: So on the fee change and activity from competitors, I mean, I don't think I've had a shareholder meeting where I've not been asked to speculate on this. It's now happened. We've changed at the same time, certainly the other largest player changed. I think from our perspective, it's working for us. I'll go as far as saying I am pretty convinced that Q1 '26 will be our best quarter ever, surpassing '25 -- last year in Q2, which I think was our previous best quarter. So watch this space. But when we come to April, we'll be able to update you on the customer numbers, the flows and the growth within that segment. So that's all sort of good. And we believe in price competitiveness. We believe in the pricing structure, and we believe in the quality of the service. This is the important elements to success. On -- everyone is very interested in how AI can change the world that we operate in. So we've been implementing it in areas to create better efficiency, to improve customer outcomes, to increase productivity. We have a pilot up and running in Investments to improve investment performance. We're not changing the decision-making framework, but we're augmenting it with AI to help investors improve their access and speed and timeliness to decision-making. And that's -- we've been working on that for a couple of years. It's more than a pilot. It's actually been rolled out across that area. So that's important. But we're not changing that the individual portfolio manager is responsible for managing the business. Within the business that we have -- the nascent business that we have in ii, the advice business, we think that's really exciting. We think it's the proposition actually that customers need. They are paying for advice. We're taking responsibility for guiding them through that process. It's primarily digital. We've got every opportunity to augment that with AI as is helpful. It's at a price point that is incomparable to IFA pricing. So it's probably for a different customer segment, but actually, we think it's a very interesting opportunity to grow that. So there'll be a bit of test and learn as we go through '26, but it's up, it's running, and we're very optimistic that it can make a big difference. And just the final thing I'll say on it because I wanted to say this is it does work across the businesses. ii customers taking advice will be hosted on Wrap with investment solutions provided by Aberdeen Investment. So it brings together the thread through the group. Who's next? Back there.
Jacques-Henri Gaulard: Jacques-Henri Gaulard from Kepler Cheuvreux. Maybe the question back on Nick's point about the 5%, 10% growth. Is it fair to say that if we were to include the CapEx you're going to need for technology for AI, that would be more like [ 7 12 ] for example? Is there ingrain into that a technology CapEx structurally to just being able to keep up?
Jason Windsor: Look, we've got quite a big envelope above the line already for investment in tech. And we have a smaller envelope below the line, as you might call it, we call it restructuring and transaction costs, but sort of below-the-line costs. There is no hesitancy from me, Siobhan or Richard to invest in tech for the good of the company. We'll continue to do that. We've grown expenses in areas that we want. We've taken expenses out where we've had to. I'm not going to get into quantifying it, but across the group, look, the technology cycles are changing from months to weeks to days, right? So -- and actually, the pricing of this is also going to change. Nobody knows, right, how much this costs. But everybody can see the use case and the increased use is going up. That's not news, but we see the same thing across our business, and we will continue to push to be as forward thinking on tech as possible. Any more we got on the line. We are going online, Douglas? Duncan, sorry. Is there any questions online? No? are we done in the room? Well, look, thank you all very much for coming. Hopefully, you've picked up your chocolate freebies in the form of an ii Penny Drop. Apparently, I'm not open minded yet, but it looks pretty good. We do appreciate you all coming in and your focus. And obviously, we are available for any further Q&A, either Siobhan or myself, management team or into ii -- or into IR sorry -- or ii, I don't mind. Go for it. Thanks very much.